Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the RiceBran Technologies 2013 Second Quarter Financial Results Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions (Operator Instructions) I would now like to turn the conference over to Thomas Walsh. Please go ahead, sir.
Thomas Walsh - Senior Vice President, Alliance Advisors, LLC: Thank you and good afternoon everyone. Welcome to RiceBran Technologies 2013 shareholder update conference call. With us today are John Short, CEO and President, Dale Belt, Chief Financial Officer. Before I turn the call over to John, I would like to remind listeners that during the call, management’s prepared remarks may contain forward-looking statements which are subject to risks and uncertainties. Management may make additional forward-looking statements in response to your questions today. Therefore the company claims protection under Safe Harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from results discussed today and therefore we refer you to the detailed discussion of these risks and uncertainties in the company’s filings with the SEC. In addition, any projections as to the company’s future performance represented by management include estimates today as of August 15, 2013 and the company assumes no obligation to update these projections in the future as market conditions change. This webcast and certain financial information provided in this call are available at www.ricebrantech.com on the Investor Relations page. At this time, I would like to turn the call over to John Short, CEO and President. John, please go ahead.
John Short - President and Chief Executive Officer: Thanks, Thomas and thanks to everyone who has joined our call today. As many of you know we held our call on July 30, 2013 to provide our shareholders within operational update. Our recording of that call is available on our website for any listeners who may have missed it. On that call, we provided an update on the projects at Irgovel on the status of the introduction of our stabilization technology into a Wilmar rice mill in urban China on the launch of our rice bran protein products at the IFT in Chicago in July and other key activities. The only other operational update I want to provide for today’s call is that we’re experiencing increased demand four stage 2 family of products which includes our RiBalance, RiSoluble and RiFiber as well as our new PRORYZA rice bran protein products. Based on increasing orders for those stage 2 products we’ve recently increased production under Dillon, Montana plant by 25% to 5 days a week, 24-hours a day to keep up with increasing demand. Considering that we recently addressed key operating matters today’s call we’ll focus some of the Q2 financial results. I’ll turn the call over to Dale and we’ll open the floor to questions after his prepared remarks.
Dale Belt - Chief Financial Officer: Thanks John. Consolidated revenues for the three months ended June 30, 2013 were $9.4 million, compared to $9.7 million in the prior year period that was a decrease of $0.3 million or 3.3%. USA segment revenues remained largely unchanged from the second quarter of 2012. Our Brazil segment revenues decreased $0.3 million or 4.5% as a result of 5.3% declining in the average US Dollar to Brazilian Real exchange rate between these periods. Consolidated gross profit in 2013 decreased $0.5 million to $1.3 million for the three months ended June 30, 2013, compared to the prior year period primarily due to a higher raw bran cost. Bran costs in U.S. were 22% higher and we’re 19% higher Brazil segment. Raw bran prices have begun to moderate compared to the all time high that we been experiencing in 2012 and early 2013, but they do still remain in high levels. Consolidated operating expenses were $2.6 million compared to $4.6 million for the second quarter of 2012 that’s an improvement of $2.1 million resulting from a reduction in USA Segment impairment charges between periods, which totaled $1.1 million and we have some gains on sales of equipment and reduced depreciation expense to total $0.7 million. The gains on sale are predominantly related to the sale of extruders groups to Wilmar earlier this year. Brazil segment operating expense improved slightly by $0.2 million on lower professional fees. Consolidated other expense was $1.8 million for the second quarter of 2013 when compared to other income of $1.9 million for the second quarter of 2012. This increase in other expense of $3.7 million was comprised of the following key items: first, a USA segment related $1.8 million increase in expense from the change in the fair value of our derivative warrant and conversion liabilities. This was primarily the result of changes in the price of our common stock between valuation dates. Our stock price decreased from March 31 to June 30 in both of the quarterly periods. I do want to emphasize that this is a non-cash charge. In addition, we suffered a USA segment $0.5 million loss on extinguishment in 2013, which is comprised of losses on the conversion of $0.3 million of our senior debenture and the prepayment of $0.3 million on those same debentures. This is also a non-cash charge I should point out. Further, a further non-cash charge resulted from USA segment $0.5 million in financing expense in 2013 that was associated with issuances of the subordinated convertible notes and related warrants. And finally, we experienced a $0.6 million increase in interest expense, which is the result of an increase in average debt outstanding in both the USA and Brazil segments and (ii) the increase in interest expense in the USA segment as a result of amortizing the debt discount on the senior debenture when that principal was paid. In conclusion, I want to note that while we continue to be negatively impacted by the continuing devaluation of the Brazilian real you can see in the segment information in note 14 to our financial statements that we continue to show improvement on the operating and expense management side of our business. The consolidated operating loss for Q2 of 2013 improved by $1.6 million or 55% from the same period of 2012. So, with those highlights, I’ll turn the call back over to you John.
John Short - President and Chief Executive Officer: Thanks, Dale. That concludes our prepared remarks. I would like to open the call for questions. Chad if you can start the Q&A portion of the call please.
Operator: Absolutely sir. We’ll now begin the question-and-answer session (Operator Instructions) And I’m showing no questions at this time. Please continue.
John Short: Chad let’s get one more minute and if there aren’t any questions, we’ll wrap up the call but if there are questions, we certainly be happy to entertain them.
Operator: Absolutely sir (Operator Instructions) We do have a question. Our first question comes from the line of Joshua (indiscernible), Private Investor. Please go ahead.
Unidentified Analyst: Good afternoon gentlemen. John, I was wondering if (you provide) a little more color on operations at Dillon you said its open 25 hours a day. Could you let us know what this means in terms of product volume and who is buying the stuff?
John Short: We’re seeing - we certainly can Joshua thanks for the question. I think you may know that up at Dillon let me step back. We stabilized RiceBran in West Sacramento. We ship it forward to Dillon and in Dillon we’ve historically applied our patented stage 2 processes to use an amylase enzyme to breakdown some of the carbohydrate structures in that stabilized RiceBran and we produce RiBalance or we separate the RiBalance into a soluble fraction we call RiSolubles and fiber fraction we call RiFiber. Based on our work with DSM I think people know that we have developed further technology to protease and amylase enzyme treat the fiber fraction that comes from the first level enzyme treatment and to concentrate protein in our P-35 in a protein fiber product in our PF-20/50. We showed the protein products in Chicago at the IFT in July and we have great initial response to those protein products and that we have samples out to and by the way Robert Smith is with us and Robert I’m looking at you saying couple of hundred customers.
Robert Smith: Yes.
John Short: So we have real interest across the board domestically and internationally in those products but what we are seeing in the short-term just show you as we are seeing renewed interest and increase demand coming from our RiSolubles, RiFiber and RiBalance product. Those products are going into on the fiber side nutrition bars healthy nutrition clean labels etcetera is a big target for a lot of consumer products companies. And we are seeing a lot of increase demand on the RiSolubles side and even on the RiBalance side for the beverage in beverages and bar business. That’s coming both domestically and internationally. And we are getting this year at Dillon.
Unidentified Analyst: Quick follow-up question I know historically there has been kind of lot of forward guidance given and I know we are sort of in the least stages of moving forward on these other items but can you give any mid quarter guidance for what you we might in the months ahead?
John Short: We’re not providing any guidance shown we’re not going to be doing that for the time being. I’m hopeful that appropriate point in that too distant future we can start to do that but at this point in time unfortunately not.
Unidentified Analyst: Okay, thank you guys.
John Short: I appreciate the question. Thanks.
Operator: Thank you. And our next question comes from the line of (Charles Hammer), Private Investor. Please go ahead.
Charles Hammer - Private Investor: In the stockholder’s meeting which is voted the reverse stock split. Is that possibility or definite forgoing conclusion?
John Short: Charles thanks for the question. I think there are no forgoing conclusions as far as we are concerned. We certainly look at a full range of possibilities for the company and you guys have a chance to look at our Q2 numbers we need to do something in terms of restructuring the balance sheet at some point in time. We’ll certainly considered as one of the, one of a range of options a reverse stock split and if we did that we would likely do it in conjunction with an up listing but there is no definitive timeframe for that. It is one of the options that’s available to us but we will certainly considered among a number of other options and we are just trying to do the best thing for the shareholders in terms of positioning the company to take advantage of what we feel are some tremendous opportunities for the business but those opportunities can only be materialized if we can get the financial structure of the business both together.
Charles Hammer - Private Investor: Right. I appreciate that. A little follow-up here what happens to the options that are out if you have a reverse stock split and the options are at $0.08 did the price of the options changed?
Dale Belt: Well the options and warrants whatever is outstanding on the would be it’s just pure math by a way of simple example if you did a two for one and you have a $1 option if you have a hundred $1 options if you do a two for one you’ll suddenly have a 50 options at a $2 like wise, so that the end result is essentially the same.
Charles Hammer - Private Investor: Okay. Thank you.
Operator: Thank you (Operator Instructions) And I’m showing no additional questions at this time. Please continue. We do have a last minute question. This comes from the line of (Jason Edwards), Private Investor. Please go ahead sir. And Mr. Edwards your line is open. We have another question from the line of Jan Schmidt, Private Investor. Please go ahead sir. And Mr. Schmidt, your line is open.
Jan Schmidt - Private Investor: Here we go, can you hear me now?
John Short: Yes, yes we could Jan, thanks.
Jan Schmidt - Private Investor: All right, good afternoon. In the last several reports quarterly and in annual there is several comments about continuing and as a growing concern, has that changed since June 30, or how has that changed today or what’s going on today? Is RiceBran Technologies going to have enough funding to continue as an ongoing concern?
Dale Belt: Well the growing concern language that’s you’ll find that in our auditor opinion and you’ll also see it refer to in wherever we’ve discussed cash liquidity issues. If you sat here today and looked at any company this applies to anyone that’s sort of standard language used to describe a situation where a company has not generating positive cash flow and we’d run out of money within a year if you did not raise additional funds from somewhere. So, that’s kind of a I won’t say it’s required language but it’s almost required language so that’s why you see that and that language has been there as long as I’ve been here next three years. So, that’s why you see and that’s what it really means. To answer your question about going forward, I mean clearly anyone can do the math you can look and see that we’re continuing to burn cash although we continuing to monitor our expenses and control them pretty well as I mean as well as we can. And we will need to raise additional funds to cover that shortfall beyond that I can’t speculate.
Jan Schmidt - Private Investor: Now that $8 million loan that or agreement that you made I believe it was the last month, does that I shouldn’t say resolved, but those that ease the financial burden for right now?
Dale Belt: The short answer is yes, and let me just, let me be real clear that. It’s an $8 million line but it is limited by collateral and our collateral base under that $8 million line at the moment we’ve been able to borrow $2 million so far. So yes, obviously been able to borrow $2 million we borrowed as obviously provided as the cash that we’ve needed we had in this call. But we will need to raise additional funds in and depending on condition then the discretion of our lender TCA under that agreement we may be able to borrow additional funds under that as we go forward we certainly hope so.
Jan Schmidt - Private Investor: Alright. Thank you very much.
Operator: Thank you (Operator Instructions) Our next question comes from the line of (Bern Field), Private Investor. Please go ahead.
Bern Field - Private Investor: Ho John, how are you?
John Short: Good Bern, how are you?
Bern Field - Private Investor: I'm doing fine, thank you. Going back to couple of conference calls ago for now it’s I remember Dale making the comment and I was total agreement within that this is a function of sales grown the business obviously as imperative than you guys have made the capital investments in the Irgovel which hopefully are going to provide dividends down the road in that area, but John, can you briefly address you’ve got different product lines that you’re all trying to grow the business with and I know because I talked with you on conference calls in the past about the credit sales cycle, and how owners that can be yet now we’re down the road a little bit from a year or two ago hopefully we’re down there sales cycle road where it’s now very close to turning the corner with a lot of these products and I think I can speak for a lot of investors who are anxiously waiting to hear some sunlight coming through about yes we’re just about there guys can you help us out?
John Short: Well Bern what I can say is to the question that was asked earlier by (Charles Hammer) we’re not - we’re not or maybe by Joshua I’m not sure the first or the second we’re not providing any forward-looking guidance. And at some point and time in the not too distant future I hope to be in a position to do that. Having said that what we’re seeing in with Risoluble sales I think it’s a function of a lot of that work we’ve been doing over the last couple of years. We’re seeing growth in insoluble and fiber balance that’s causing us to add shifts up at Dillon. We have just added an additional shift and I’ll not make any predictions about what else is going to have to happen there. But there is a long sale cycle I mentioned in the past that we‘ve been working hard at that sale cycle and we’re starting to see the fruits of those efforts.
Bern Field - Private Investor: Are you satisfied with the result of your distributors, to-date in moving your products forward?
John Short: No of course not. We’re never satisfied. We want to grow much more and we want to grow faster. One of the things we’re seeing in the business is that growth is faster in the human ingredient side of the business than in the animal nutrition side of the business. In the Q and in I think in Dale’s prepared comments one of the things we note is that the animal nutrition business is price sensitive and it’s particularly price sensitive when you see big run ups in the cost of raw rice bran that we did to pass along as best we can and to share some of the pain with our partners in the animal nutrition business. I believe that as the prices continue to move down on the raw bran side we’ll start to get some margin relief on the animal nutrition side of the business. But knowing that, that’s always going to be a price sensitive business, we’re focusing efforts on the human nutrition side of the business and particularly in the stage 2 products portion of the human nutrition side of the business because are the highest margin products. So, we’re happy to see that we’ve had to add shifts up in Dillon because those are obviously our stage 2 products and our highest margin products. Would we like to see things move faster you bet right? Are we, are we happy that we’re making progress in the areas that have highest margins we’re.
Bern Field - Private Investor: John and I think that’s fantastic that Dillon’s kicking into gear did that just happened recently like in the last month or two that caused that or you did that is the increase in sales to cause you put on another shift in Dillon?
John Short: Well Bern what happens with all of this stuff is that it takes a lot of work to do the sell-ins and once you do the sell-in and the customer decides to adopt and they begin to ramp up that’s a process as well. And sometimes these ramp ups once they are approved they can take six months to get into a cycle because some of these companies only changeover twice a year. So, everyone at the situations is different but what we’re seeing up in Dillon is a nice steady ramp, a nice steady growth that’s requiring us to put more shifts on, more hours on the plant. And we’re excited because we’re getting some payback for that effort. We’re starting to see the same thing I must say on the stage 1 side of the business. We’re starting to see response. We’ve worked with some of the meat guys and some of the cereal guys on some new product development for year, year and a half and we’re starting to see those come to fruition from the point of view of orders hitting the books as well. So, we’re, we‘re making progress on all those fronts. We’re making progress on the human ingredient side both stage 1 and stage 2 and as we move forward that should have positive impacts on margins.
Dale Belt: Yeah and this is Dale if I could just simply add to the answer to your question is that from a business standpoint of the company and operationally we would love to do business with all the big guys companies that are going to buy 1 million or 2 million or 3 million of product from us a year. We’ll take any profitable business of course but it’s easier to do business with someone, who is going to buy a large volumes and full truckloads and just operationally it’s a little more profitable easier to handle and I think what we are seeing in Dillon is we’ve seen more than one customer come to us and say hey my products is getting traction and I want to make sure you guys can supply me. We are kind of like well if you have show me the money. Show me the order and if we get those orders we got to be able to fill him and that’s why we are doing what we are doing.
John Short: And we are seeing some nice build there because of that.
Dale Belt: Yeah.
Bern Field - Private Investor: Okay and that’s fantastic because on your average cost to produce that obviously goes down too and your margins go up
Dale Belt: You got it.
John Short: Indeed.
Bern Field - Private Investor: Good luck guys.
John Short:
.:
Dale Belt: You bet.
Bern Field - Private Investor: Thank you so much.
Operator: Thank you. And our next question comes from the line of (Jason Edwards), Private Investor. Please go ahead sir. Mr. Edwards your line is open please check your mute button.
Jason Edwards - Private Investor: Yes. Hi, John.
John Short: Hey, Jason. How are you?
Jason Edwards - Private Investor: I’m fine. Could you comment a little more specifically about the BENEO sales in Europe and is Prozyn selling product in South America. They’ve been signed up with that for a while now but could you comment on that and lastly I know that shareholder has offered to manage the Facebook or social media presence for the company. Do you help raise the awareness to the public of RiceBran Tech and it’s products and the value of it’s products. Why want you take him up on that?
John Short: Let me go one by one.
Jason Edwards - Private Investor: Thank you
John Short: BENEO we I think we mentioned on an earlier call that we got a little bit of a slow start with BENEO because of regulatory issues. I think everybody understands that Europe is non-GMO market in their real penalties and problems if you shift product into Europe that has any significant genetically modified characteristic to it. So we had a slow start because we had to sort out the testing protocols. I want to emphasize the Rice and RiceBran is not genetically modified. We’ve never had a GM positive test and that is not an issue. So shipping in the Europe is not a problem for us but getting the testing right so you have the right paper trial behind that was a bigger challenge that we thought that is result as we mentioned two, three calls ago and we are starting to see build in BENEO sales. BENEO is running slightly ahead of their budget for 2013 and we are excited about that and we what to say and we are certainly working to support continuing growth of that business. So on the BENEO side that’s another one of those situations would we like to see it nine months earlier and at a higher level of sales short but we have managed to work through the challenges and we are starting to see positive results coming from that distribution partnership with BENEO. I might also mentioned that over BENEO based they’ve recently gone through a change in management and a fellow that we were working with those closely with over BENEO has been promoted to effectively run the place from a commercial point of view and he is a series supporter of our business. So we are happy and positive about the direction of the relationship with BENEO. With Prozyn, Prozyn BioSolutions I’m not sure everybody thought that is but let me just explain in fact Robert do you want to give a quick description of what Prozyn is and does and where we are with the work we are doing.
Robert Smith: So Prozyn BioSolutions based at Sao Paulo, Brazil develops a lot of technologies for the meat and baking industries and use with a lot of different ingredients to essentially solve some of the formulation and development issues that big companies might have in their production. And we have been working closely with Prozyn BioSolutions for the last two of three years and they are going through a process of evaluating our various ingredients in their formulations and their products for their various customers. The product formulations in South America can in many instances the significantly different than what we see in North America and so that has taken sometime to go through that cycle. But were just down there last month visiting with the Head of Prozyn BioSolutions and going through some of their development process understanding some of the issues that they’re having. And so we’re following up with them today in those areas. So we expect to get some progress there in the near future and we’ll continue to work very closely with them.
John Short: One of the things I would comment on when we think about proceed and we think about entering into other markets is for those of you who have lived, worked, and traveled a lot internationally. The subtleties and the nuances of differences in pellet from market-to-market and as a result the differences in product development especially in the ingredient side are a tremendous subtle but tremendous. And as a result things that we have developed in the market here in the U.S. that have gotten traction even for example with a major global food company that has operations in the U.S. and operations in Brazil. The same product that we’re seeing in that market has to be redeveloped and kind of tuned for the market in Brazil, for the market in China or any of the other markets where pellets and casing preferences are different. So even though we have a number of products that have traction in the U.S. and Europe with some of the major global food companies and Prozyn has relationships with the Brazilian and South American subsidiaries of those same global food companies you still have to go through the redevelopment process and you have to go through the market testing, sampling, tasting process and it takes maybe not as long as it does to launch of products from zero here in the U.S. but it’s work and its work to get it right and it’s work to get new ingredients to integrate properly with the other ingredients better sourced out of that the domestic markets in the foreign countries. So we’ve done a lot of work with Prozyn. We think they are a great development partner. And as Robert said we think there will be returns coming from that investment but like the other product introductions it’s not shortly timed. Yeah, Jason your third question was about social media. We got - I probably got seven or eight written offers a week from people to provide social media services for us. And I think at an appropriate time when our staffing situation or financial situation could deal properly with social media I mean deal properly with it it’s worth considering. But let me make two comments. We decided a couple of years ago to reposition our business as a B2B business not a B2C business. And the businesses that are likely to get the most traction in the social media world are the guys who are selling business to consumer. The second comment I would make is I went to school with Jeff (indiscernible) from GE. And I see him every once in a while reunions and functions and things like that. And he has seven people who manage social media.
Jason Edwards - Private Investor: Right.
John Short: Who field all of the Twitters and the Facebook‘s and all of that kind of stuff. We have 14 people in our corporate office, so we need to be realistic about what we can afford to do and what the payback is and considering that our positioning has been set as B2B, I don’t think that’s a good use of our dollars right now.
Jason Edwards - Private Investor: Would you be willing to try (indiscernible) where he is offered to manage the site day-to-day. Remember John that the public is the end customer for all the products specifically the Stage 2 products, but increasing public awareness has been helped.
John Short: Hi, I just agree with that, the public is not the end user of our Stage 2products. We are selling our Stage 2 products on a B2B basis for people who use them a significant inclusions. And their finished products is a first issue and as a second matter I would not interest anybody outside of the business to manage communications for the company that if they step at a line and get a suit. So we are just not prepared to consider that. I don’t think it makes sense and I don’t think it’s a good use of our time or money.
Jason Edwards - Private Investor: Okay. I’ll concede on that point but the end user when they buy a bar or a drink and they see SRB in it or RiceBran if they knew what it was maybe they would be more likely to buy it. We look for it.
John Short: Jason as I said first of all I think there is value in properly managed social media. So I think this comment is a good one I think they have to look at proper timing. Dale mentioned earlier we are still burning cash we are getting very closed to not burning cash anymore but as of today we are still burning cash.
Jason Edwards - Private Investor: How close John. How close?
John Short: We are not providing any forecast that is half the numbers you can read them.
Dale Belt: Is the sky blue or cloudy?
John Short: If I tell you I’m going to have to kill you. It’s a 110 in Arizona.
Dale Belt: Here is the middle road answer it’s partly cloudy.
John Short: No, no we are not providing any forward looking guidance at all we will do that at the appropriate time but for now we are minding our Ps and Qs from on expense management and a spending point of view and we are only spending money on things that we believe can produce increases in sales and margin for us in the relatively short-term. I do not believe that social media falls into that category at this point of time and it may not for a quite of long period of time considering that we have repositioned the business B2B as oppose to business to consumer.
Jason Edwards - Private Investor: Okay.
Dale Belt: Yeah I would just add one other thought that I have John as well just a quickie as that we have to be very careful about being a conflict with our customers and going out and promoting our product which is an ingredient among many ingredients going into the stuff that consumers are actually deeding be at a nutritional bar or cereal or whatever it might be. We would have to be very careful how we do that so that we are not in conflict with people buying our ingredients and going out of marketing their product and if they want to task that establish RiceBran is in it and it’s a very healthy ingredient great. Good for them that they certainly have the right to do that with their product but I would just assume my simple comment is that we would whatever we would do down the road on that we would have to be careful.
John Short: All right. Well listen I appreciate the questions then we’re everybody see up on the screen that there are not further questions. So unless something pops up in the next five or 10 seconds if that happens we’ll take one more and if that doesn’t happen we’ll wrap the call. And Jason I want to thank you and Bern and Jan and Charles and Joshua who everybody asked questions. I see one more that has just popped up. So we’ll take one last question.
Operator: And the next question is a follow-up question from (Jason Edwards). Please go ahead. And Mr. Edwards your line is open.
Jason Edwards - Private Investor: John can you hear me?
John Short: I can hear you now. Yes, yes.
Jason Edwards - Private Investor: Just a follow-up you comment on whether any efforts or being incurred pursuing the nutraceuticals and are you satisfied with the efforts of our sales force. I mean are we lacking numbers are we lacking better execution. What some you’ve done to real to speed up the option in sales?
John Short: I think the most important in terms of speeding up adoption in sales is moving forward to clean up the balance sheet and when you look at what we’ve asked the shareholders for approval to do and got approval to do back at the shareholder meeting in June to issued insurance shares reverse split the stock with the intention of up listing to NASDAQ that’s one potential mechanism for cleaning up your balance sheet but one of the challenges we have is let’s take for example the easiest example is our RiSolubles product. Most major food companies have a dual sourcing strategy and they have a policy internally that says we’ve got to have two sources of a product before we integrate it two sources of an ingredient before we integrate it into a finished product, because if a plant burns down a company gets into financial trouble, there is a flood where these guys operate from whatever that happens to be we need a pullback source. Now you think about the RiSoluble’s piece in the puzzle that is a patented product, we own the patent, we are the only producer of that product up in our plant in Dillon, Montana. So I'm very excited that it’s getting traction and it’s getting traction because it really is high value or high quality and gluten-free a non-GMO all of that things that we tout on the selling side Jason. So, there really is high value but if you put yourself in the position of the head of purchasing at a large global food company will look down a supply chain and says no, I'm going to put this into a product and it’s going to cost me $500,000 or $1 million to prepare launch and package that product. I need to be very certain that the guidance supplies me that product is in good shape and if that guy isn’t doing great shape that I have a fall back. Going to RiSolubles there is know fall back, because we own the patent. So, it’s encouraging that we’re gaining traction with that product and I think it’s a testament to the real value of that product in the marketplace I think we would have many, many more orders coming in if people looked at our balance sheet and that balance sheet was cleaned up. So one of our real focuses in the business is to get the balance sheet cleaned up and I believe that that not having to cleaned up at this point in time is a major impediment to sales because the guys were dealing with or for the most part very large, large and medium size national, both international and global food companies that we do have policies in place like that. So that’s one of the big inhibitors. Am I satisfied with our level of sales? Of course not. Do I think we will be able to do it, yes I do. One of the key issues and one other things we spent a lot of time on it (indiscernible) processes and shareholder meeting as what do we do to, what do we do to clean up balance sheet. So we have to move forward on all fronts Jason, we have to continue to push on the sales side, we are getting traction, our products are getting traction in the meat area and the cereal area. You asked about nutraceuticals and we are not spending a lot of time trying to focus on nutraceuticals because nutraceuticals are pretty complicated from regulatory point of view, but we see a lot of movement in the marketplace toward healthy foods. And our focus really is and you see that actually happening with the food companies you can even see the pharma and nutra companies moving back into healthy foods because the regulatory environment is so complex, but our focus is b2b healthy foods where the consumer products companies are really looking for health claims, labor claims, front-of-package claims, clean labels and the like. And we’re making progress there and we think that’s a big opportunity for us.
Jason Edwards - Private Investor: Just one last comment, I’d be obliged to make John. Retail shareholders just hope that management is at moderation in their compensation involving with this award, until the company has demonstrated a better picture?
Dale Belt: This is Dale, I’ll comment this is almost personal okay, but I’ve been since June of 2010 and no cash bonuses have been paid since I’ve been here and non one that I can think of has had at least of a Senior Manager level or above has had raised the only exception to that statement would simply be someone that we hired and say. We’ll hire you at this salary which was probably low and said that you know work your six months and we’ll bunk you up to this which was may be even a more appropriate level of compensation really for the position and skills they were brining to the table. So I think when we have talked about managing our expenses over the last two years on all of these calls and I think our numbers clearly reflect that I don’t think anyone can say that we’ve been extravagant or anything as far as in this area.
John Short: Yeah Jason you are right. There are probably a bunch of things that don’t sort of jump out of the filings, that we make as well. But Dale, myself and other people in the senior management group had voluntarily taken 10% and 20% pickups voluntarily
Jason Edwards - Private Investor: At times.
John Short: At times over the course of the last three years to make sure that the company can operate. As Dale said no cash bonuses have been paid…
Jason Edwards - Private Investor: Ever.
John Short: Ever, ever. So, I think we’re aware of those issues. I think we’re doing our best to make this business successful which we’re determined to do and we’ll do. But I hope that our shareholders appreciate what the management has done to get the business through the gauntlet that we’ve come through and to get it where it is. We’ve real opportunities in front of us because there has been shared sacrifice all the way around from the point of view of the team that we brought into run the business and I also comment that our board has deferred board fees and taken stock and little cash virtually every year since we’ve been here. So, if you look at the management team and the board I hope you guys will appreciate what has been done.
Jason Edwards - Private Investor: We do appreciate it John but it has been brought to our attention that there was a bonus for you personally that it’s already on the books that some shareholders at least feel should be reexamined as to the qualifications for you to receive that bonus I’ll just leave at that. I’ve and you know what I’m talking about or you can easily find out?
John Short: Jason I don’t know what you’re talking about but I’ll be happy to address any of those issues you want. To be clear no bonuses have been paid in this business.
Operator: Thank you. And I’m showing no further questions at this time. Please continue with any closing remarks.
John Short - President and Chief Executive Officer: I want to thank everybody for joining the call today and I want to thank you for your questions. We appreciate the interest and we appreciate the participation on the call. And we look forward to speaking to you guys again after Q3 results.
Operator: Ladies and gentlemen, that does conclude the RiceBran Technologies 2013 second quarter financial results conference call. Thank you for your participation. You may now disconnect.